Operator: Ladies and gentlemen, welcome to Colonial SFL 2025 Third Quarter Results. The management of the company will run you through the presentation that will be followed by a question-and-answer session. [Operator Instructions] I would now like to introduce Mr. Pere Vinolas, CEO of Inmobiliaria Colonial SFL. Please, sir, go ahead.
Pere Serra: Thank you. Good afternoon. Good evening to everyone, and thank you very much for joining us today in this presentation of our results for the third quarter of 2025. I'm going to start with some introductory remarks, and then I ask, as usual, Carmina Ganyet, Chief Corporate Officer; and Carlos Krohmer, Chief Corporate Development Officer; to step in with additional comments and insights. The introductory remarks, I think that we are presenting again a good set of results. As you will see, the operational performance remains strong. Many different KPIs show very strong numbers associated to them. And this in the end shows that our strategic positioning in prime is set to deliver earnings and value growth. Our strategic positioning, as you know, is based in the prime asset class segment. I think that it's now a few years where we have been improving pricing power. Pricing power coming from high demand from best-in-class clients, where we are able to capture above-average rental growth. And as a consequence of this, strong earning growth as a result of our activity. There are 2 things that we can share that you will see. One is that we are proving superior growth capabilities. It's a 9% CAGR for the last 3 years that has been delivered. And it's not only looking at ourselves and other history is that regularly, you could see how our GRI like-for-like growth, it's relevant, but moreover, it's higher than those of our peers in the sector. So this positioning -- unique positioning of Colonial creates a difference. I'm going to start by looking at the main KPIs for this quarter. We could talk about cash flow. We could talk about operational performance. We could talk about capital structure. Just let me share a few numbers. This quarter, gross rental income ends at EUR 296 million. The revenue number here is a 5% like-for-like, well above inflation, showing strong rental growth. The EPRA earnings 6% year-on-year, EUR 156 million. The EPRA EPS, EUR 0.25 in line with the guidance for full year. Second layer operational performance, rental growth, 6%, measured as our growth in terms of signed rents compared to December '24 ERV, 6%, may be highlighting 9% in Paris, which again, is pretty strong and pretty ahead of inflation. Release spread 9%, 17% in Paris and occupancy 91%. As you know, we are just delivering some assets that create a difference without Madnum & Haussmann, our occupancy, which was -- were just delivered this year, our occupancy would be 95%. Finally, from a capital structure point of view, we keep our strong credit rating, BBB+, S&P, Baa1, Moody's, the rating confirmed in that particular case, September this year, loan-to-value 38%; financial cost, 1.9% for the whole of our debt. In Page 6, an overview that in my view, it speaks for itself about our core markets. Where are we in terms of individual occupancy. You can see how high it is. You can see also the number for rental growth 9% Paris, 6% Madrid, 3% Barcelona. And this is a result of beautiful signatures, EUR 1,200 per square meter maximum rent sign in Paris, EUR 43 per square meter per month in Madrid, maximum rent sign, EUR 30 in the case of Barcelona. So fantastic KPIs. Now as usual, we will enter into details, first, the financial performance, later on portfolio management that provides more insight about the future. And finally, some remarks from myself on future growth. So let's skip into section #2, financial performance. Carmina, welcome.
Carmina Cirera: Thank you, Pere. So the first main KPI is the rental income, which as you can see here, it's growing through the core portfolio and the project deliveries. This is true drivers. The core portfolio shows a like-for-like growth of 5% and project deliveries of 3%. These 2 main drivers has been overcompensated the fact that on Condorcet & Haussmann have entered into refurbishment. If we look at the different components of this strong gross rental income in Page 9, mainly, you can see out of this 5%, 2% comes from the indexation impact, as you know, inflation in Spain and ILAT index in France, in our Paris portfolio. Another 2% comes from the rental growth premium, this pricing power from all our operational portfolio, an additional 1% from additional occupancy. So this 5%, as Pere has mentioned previously, it's outperforming our main peers in the European zone as usual. So this is another quarter that we are delivering a solid rental growth like-for-like both our peers in the European zone. If we look at the last bottom line in the EPRA earnings, Page 10. You can see how a strong operation are impacting positively in the EPRA earnings growth. 6% growing in a yearly basis. But basically, I would like to highlight this 18% coming from the operational portfolio. Additional EUR 5 million coming from the project deliveries that we have been able to do in the last year and additional positive EUR 9 million, basically the fact that we have converted into the Sika status, the remaining subsidiaries that we had -- we have in France, thanks to the merger. So this means that we are saving tax this year and for the future. This would be a structural positive EPS coming from this new conversion of the last subsidiaries that we had in Paris, thanks to the merger. All this positive impact has been, as you can see here, over compensating the negative impact coming from the Condorcet & Haussmann that has been entering into refurbishment. In terms of EPRA EPS, we delivered almost EUR 0.25 per share, considering the new shares in place after the capital increase that we did in July 2024. If we go to the balance sheet on Page 11, as you can see here. So we continue to deliver a very strong liquidity position. Our loan-to-value is in this quarter, 38.1%, but is -- I would like to highlight again. This level of loan-to-value is temporary. We are making progress in some disposals and capital recycling that has been not impacted yet in this loan-to-value ratio at the end of September 2025. In terms of liquidity, between cash and undrawn lines, we have a very strong position, EUR 2.8 billion, which is almost 2x covering the debt maturities for the following 3 years. And as you see, our cost of debt remains in a very competitive level. So we are taking advantage of the accurate hedge policy that we did in 2021 when the rates were very low. And in the appendix, you would see in more details the hedge and -- the hedge -- the existing hedge as of today, 93% of our existing debt are hedged with a fixed cost. And in the future, the profile of the future hedge, thanks to this pre-hedged position remains in a very solid position with above 50% of our future debt. Consequently, thanks to this strong position and thanks to this robust liquidity management and operational performance and forward-looking hedge strategy, Moody's has been confirmed our rating with Baa1 with a stable outlook. And as you know, this year, we have been tapping the market 2x, 1 in January, EUR 500 million 8x oversubscribed with a very competitive yield, 3.25%, but resulting an effective yield of 2.75% after the hedging that we took previously. And recently, in September '25, who have been gone again to the market with a placement of EUR 800 million. 6-year green bond, all of them has been a green bond issuance with 3.12% coupon, but rent, thanks to the effective -- the hedging attached to this debt, our effective yields are at the levels of 2.73%. So very strong liquidity position, very strong competitive cost of debt and confirming the rating by S&P and recently by Moody's again. Carlos?
Carlos Krohmer: Thank you very much, Carmina. Now we're going to step to Page 14 on portfolio performance. First of all, we've signed year-to-date on 25,000 square meters that are equivalent to EUR 54 million of annualized spread. So we are signing a lot, and we are signing with high prices. This EUR 54 million are an increase of 26% in total contracts secured in economic value compared with the same period of 9 months of the year before. We go a little bit into the breakdown out of this EUR 54 million, EUR 20 million, close to 40%, has been signed in Paris and this EUR 20 million are equivalent to 14,000 square meters. At the end, this means that we've signed on average at a rent of EUR 1,400 square meter a year. So absolutely at the high end. If we go further analyzing the breakdown. We've seen that the Spanish markets are also -- our portfolio in Spain is progressing very, very well, close to 60,000 square meters signed in Madrid and more than 50,000 square meters signed in Barcelona. We go a little bit more into detail on Page 15. Here, you can see out of the EUR 20 million, EUR 13 million have been in 3 super prime premises. On Champs Élysées, we signed a contract at a retail rent of -- in excess of EUR 3,700 per square meter a year. This is 11% increase of rental growth increase versus the ERV of December 2024 and the 16% release spread. On Louvre Saint Honore office or the part that is the upper part of the Cartier premise, we've signed at levels well above EUR 1,000, EUR 1,100, EUR 1,200, 18% of growth versus the office ERV of this asset as of December '24, and quite a lot of rents, EUR 3 million in 2 contracts. And then we are progressing also on Haussmann, signing above EUR 1,000, 11% ERV growth, 16% release spread in terms of what the rents were of the previous tenant pre the refurb. If we now step on Page 16 to Spain, 57,000 square meters signed in Madrid, more than 20,000 signed in Madnum in one of the most relevant urban prime campuses in the city of Madrid. In Barcelona, 54,000, interesting highlight 40,000 square meters 22@. So momentum in 22@ is getting better. We are positive on Barcelona. We see this as a big opportunity. If we then go on Page 17, you can see one of the main flagship projects and assets that have been recently released to be delivered, that is Madnum. It is a large asset, close to 60,000 square meters. As of today, we have already close to 40,000 square meters signed with top-tier tenants, most relevant recent news just some weeks ago with 1 global leading telecommunication firms letting up 13,000 square meters for 1,800 employees. We have remaining space to be let of roughly 19,000 square meters. As of today, we have already visibility for close to 40%, 3,500 square meters already signed in October. So after this results cutoff, but already today at home secured and conversations for additional 5,000 square meters. This asset, just to remind you, has a yield on cost of 8% and we are signing rents at levels of EUR 27. This is well above the initial underwriting of ERV for this asset. It was around levels of EUR 23. If we go further, here we see a very important point of our recurring earnings and revenue growth is the pricing power that our prime asset class portfolio has. We have signed a release spread of 9%, strongly driven by Paris with plus 7% in Madrid plus 4%. Barcelona is slightly negative, but this is basically due to a secondary activity in the Q2. We would look isolated only at the Q3 numbers, the last 3 months, release spread has been positive of 1%. So it's a cumulative effect from previous quarters. So we are seeing there also a change in the trend. On the ERV growth, we have signed on average, 6% growth versus the December ERV. So in 9 months, 6% growth. This is beating the average indexation that we had in the portfolio in more than 300 basis points. So really our prime asset class is delivering an extra chunk of growth due to the benefit and the polarization impact of prime asset class assets, again, strongest market. Paris and Madrid, very strong and Barcelona, getting slowly but steady back to momentum. On occupancy, you can see it on the next page. Basically, we are at -- the portfolio is at a stable level of 95%. We had the entry into operation in terms of like-for-like comparison with the entry into operation of the full project of Méndez Álvaro and Haussmann. And this has put down temporarily the total occupancy at 91%. In these assets, as I told you, the 4.4% is concentrated in these assets with the contract signed already today in Madnum is 4.4% is already down to 3.2%. And if we look at the rest of the breakdown, as you see, our prime portfolio, Madrid, Barcelona and Paris, the super-prime assets have almost no vacancy, Barcelona 22@ at 1.7% and then we have a small -- very small procedural part of secondary exposure that explains 1%. Last word on sustainability. We had recently just rankings on GRESB and Sustainalytics. We are really absolutely at the high end at Sustainalytics for the third year in a row, the best company rating at total Ibex and we are the best globally across every sector among the best 22 among 14,000 companies. At the end, this is also a proxy of the high-quality assets that we have. Only if you have a high-quality asset with the best amenities, you really have an efficient energy consumption and therefore, low carbon emissions. So sustainability is a good proxy for high-quality assets in terms of features.
Pere Serra: Thank You, Carlos. I think that if I had to summarize what we've heard from Carlos and from Carmina, well, first of all, this last point about ESG, I think that is an impressive leadership, the one that we have been showing regularly and again in this quarter. But if I had to summarize the presentation up to now, I will say 2 things. It's an outstanding letting volume activity, number one, which means that despite any views on the Paris market, not in our case. Then moreover, when you think about our volume in Barcelona and in Madrid, it's been impressive. In the case of Madrid, this year was the year of the test of Madnum, and we are approaching the end of the year and the homework is done with very high standards of rents. So number one, in emphasis is on volume. Number 2 is on rental growth. Again, you see these numbers on like-for-like, and we beat inflation. We beat our peers. We beat, obviously, the year before in terms of rental level. It's -- I think it's an outstanding number, the one-off rental growth. So I would summarize basically these 2 main features. And now let me enter into some thoughts about the future. On Page 22, we are reminding that our focus is on earnings growth that we've been delivering already this earnings growth at a path of a 9% CAGR in the last 3 years. And this coming from several sources from rental growth itself, from prime factory projects from capital recycling. This is the main focus of our strategy. And the conviction that I would like to share with you is that we are very well prepared to deliver additional EPS growth with double-digit IRRs in the next few years. Coming as we see on Page 23 from 4 different sources: From urban transformation projects, which have a significant impact in the EPS going forward; from the prime asset reversion that adds cash flow growth on top of previous one; from third-party capital initiatives that we started this year; and finally from capital recycling. Let me be more specific about each one of them. Page 24, driver #1, Urban Transformation. We expect EUR 100 million of rents coming up from these projects, year '25, year '28. The first column, which is the one regarding 2025, you can see that we already are delivering mainly in Madnum, which was the most relevant challenge for this year. Let me share you again that throughout 2026 to 2028, we expect additional rents that would mean that compared to 2024 EPRA EPS, EUR 0.11 would be added. That is a 33% on our EPRA EPS expected. I think that certainly, when anyone is looking at us is looking at Colonial, this has to be a headline. It's not so much about the current EPS, but what is expecting -- what we are expecting, what is waiting for us out there in the next 3 years. We have also a very good potential coming from the second driver. The reversion that we expect for a number of selected assets. If we add what we could expect from Prime Paris to what we would expect from Madrid and Barcelona, we see EUR 47 million that would come simply for the fact that we put -- signed contracts that come to maturity at today's ERVs. And so that's another source of cash flow growth. The third one is on our third-party capital initiative on science and innovation. Here, the comments that we'd like to share is that this is going on track. First of all, the seed portfolio is going through the expected milestones of occupancy and growth. We are today above 80% occupancies as expected. But on top of that, we are looking at additional pipeline and additional fundraising progress. Our assessment today would be that we have short-term visibility -- high short-term visibility to grow the assets under management from EUR 400 million to more than EUR 600 million at the same time that we have very interesting conversations for more than EUR 200 million. So in a way, this confirms a little bit the path that we were expecting for this particular track that would mean if we deliver what we expect would mean EUR 0.02 to EUR 0.03 additional of EPRA EPS in the midterm. And finally, another source of value is through active capital recycling. Maybe here, the message that I would like to share is in the first half of the year, we put the focus on the available opportunistic investment opportunities, mainly the one that we saw just a moment ago, the size and innovation portfolio. We would like to enhance and go further in the direction of capture opportunities in the European real estate cycle. But maybe at this time, what I would like to share is more the visibility and the focus that we are putting on the capital recycling in terms of disposals. We have a view that the disposals to navigate this capital recycling process with some fundamentals today could mean EUR 0.5 billion of disposals to come in the next 18 to 24 months. Maybe I would like to highlight that almost 2/3 of this would be based more on the short term with high visibility. So our view on capital recycling is that interesting opportunities may come. First half was about investment. Second half, it's more about divestment and initial of next year. And then we follow up with an opportunistic capture of activities in the market. Everything put together in terms of strategy and outlook. As I said, Colonial is focused in EPRA earnings growth, 9% CAGR in the last 3 years. We remain, by the way, with a full year guidance on track. We are a little bit more specific. We expect a range EUR 0.33, EUR 0.34 for this year. We remain on a strong business model that is generating a 5% like-for-like growth so far. And most of all, we have additional cash flow and value coming on the back of project deliveries and pricing power on the existing portfolio. This means a growth profile that can generate more than EUR 150 million of future rents through this new pipeline and reversion. And all of this focus in a strategy of relying our fantastic positioning on our core markets but together with enhanced urban transformation growth strategy with a certain example in the science and innovation field and based in the support of third-party capital. This is the message for today. We think that is a good set of results. Now we are available for any questions. Thank you.
Operator: [Operator Instructions] And we shall start with the first question by Ignacio Romero from Banco Sabadell.
Ignacio Romero: Thank you for the presentation. So I have a question regarding loan-to-value at 47% on an EPRA basis, you are now near the same level that you had when you announced the deal with criteria a year ago. So how do you see a loan-to-value evolving in the future? Would you expect to lower it by this capital rotation that you have just mentioned? Or do you expect asset revaluation to lower the ratio, maybe even a new capital equity capital injection. I would like to know your thoughts on that issue, please.
Carmina Cirera: Okay. Carmina speaking, thanks, Ignacio, for the question. As you know, we look at the leverage in a very holistic approach, which means that different KPIs which are included in the rating. So our commitment is to maintain the rating, the investment grade. And it means solid ICR. It means that solid EBITDA, net EBITDA, it means liquidity and it means, of course, loan to value. These levels, as we said, are temporary because we are making progress on the capital recycling, but it's not a way of settle exactly a percentage of loan-to-value. It's a more, I would say, approach in the rating agency methodology. So it's true that after the capital recycling strategies and of course, still, this is based on the last price evaluation, which was in June and in the end it will be updated, we believe that the levels would remain as they were in the previous year. But as I repeat, after the capital recycling, we believe that these levels, this is why the rating agencies has keep and maintain the rating.
Operator: Next question comes from Valerie Jacob from Bernstein SG.
Valerie Jacob Guezi: I've got a couple of questions. The first one is -- maybe a follow-up on the question that's been asked on the LTV. I mean, you mentioned that you've got EUR 0.11 coming from the projects. Can you remind us how much you need to spend to deliver this EUR 0.11 and how is it going to be funded? Or what is the impact going to be on your LTV? That's my first question. And my second question is just looking at your earnings. I think in H1, it was EUR 0.17, and it's EUR 0.25 for 9 months. So there is a slowdown in your earnings growth. And I was wondering if there is any reason for that? And what does that mean for the guidance? Because I think at H1, you said you are likely to be towards the top of the guidance. So are you still there? Or are we more sort of in the middle or lower part of the guidance now?
Carmina Cirera: Okay. So on the CapEx related to this 200,000 square meters in Page 24, you know you can see the details of the pending CapEx attached to this project pipeline, which would add this EUR 0.11 per share. So this is funded through disposals and through maintaining as well the ratings and the levels of the metrics for the rating that we have in place in the investment-grade BBB+ by S&P and Baa1 by Moody's. So considering that the valuation on the pipeline will -- it's not factor for value today. So it will be factor the full value after completion. And so when you consider this IRR expecting for this CapEx plus the pending CapEx plus the capital recycling, this is the reason why, as I said before, the rating agencies, maintaining with a stable outlook our rating and -- our credit metrics and our rating.
Pere Serra: On the second part of your question, look, I think that we are more or less in line on what we -- with the vision we delivered throughout the year. We started with a wider spread because of the logical uncertainty on a business that just -- sometimes just for timing issues, you can go a little bit after or a little bit ahead of what you would expect. Where we see the earnings today, it's more focused on the 33%, 34% range. maybe still more biased towards the high end at the lower end, but this is too precise, not for us to give visibility at this moment. That's the number we can share today.
Valerie Jacob Guezi: Okay. And is there any reason why it was lower in Q3?
Pere Serra: That's just timing issues. I mean there are -- in the end, you don't have a stable perimeter throughout the year and we cannot be mathematically equivalent in all quarters. So just normal timing issues on the ordinary course of business, nothing exceptional happening.
Valerie Jacob Guezi: Okay. May I ask a last question. Looking at the supply coming in Paris, if I look at what the brokers are expecting, they're expecting the vacancy rate in Central Paris to go up. And I was just wondering, what is your view on what effect it's going to have on rent? Do you think that prime rents can continue to grow in Central Paris? Or do you think that will put a halt to the growth?
Pere Serra: Yes. Good question. No, we insist on the increasing polarization in the market. We are happy to be in a particular segment where there's so limited supply that is not enhanced with additional assets that come to the market that in our market, the fundamentals of supply and demand remain the same. We understand that the rest of Paris maybe more cyclical subject to a specific situation of each year in terms of supply and demand, but this is not affecting us and I think that the results that we are presenting today try to support this view. It's this vision that you're saying about the market is something it's been around for a while and look at our numbers. So we believe that no relevant difference should be happening in the markets that we are relying on.
Operator: Next question comes from Ana Escalante from Morgan Stanley.
Ana Taborga: I have two questions, please. The first one is on occupancy. I understand that this might be as, Pere, you said some temporary thing, but looking to your previous reporting and even going back to 2015, I think this is the quarter with the highest occupancy rate you've ever reported. Discounts at the time when the indexation impact is slowing down, particularly in France. So looking into 2026, are you expecting to sustain this strong like-for-like rental growth? Or how are you expecting both the lower impacts on indexation and the temporary albeit maybe significant occupancy decline to impact the like-for-like in 2026?
Carlos Krohmer: Look, obviously, there is a general theme of indexation that is a general playing field for everybody, and it is what it is, and it's basically factual and then the contracts that go through indexation have the indexation level that is done in the market. However, having said this, and I think these results show very clearly, we've signed super strong retail contracts at super high levels, office contract at super high levels, progressing very well, a lot of square meters and moreover, economic value. And tying this to what Pere said, when you look today, the Grade A availability in Paris is below 1%, is 0.9%. So the segment where we are, that is really no product available. And for this type of segment, at least what we are seeing in our daily operations, the take-up is healthy, and we are signing with very strong release spread and very strong rental growth. And this is a very high component in our like-for-like growth. We have more than -- close to 500 basis points of extra chunk of growth in the portfolio that have been signed now and that are not part of the profit and loss accounts today because things that we signed today will flow into future quarter's profit. So we have part of the future like-for-like for the Paris site secured. Paris is strong, and Madrid is having quite significant acceleration and also in CPI, a little bit higher than expected as you know. So we think we can -- nobody knows the future, but we have the feeling that we can maintain these strong levels of like-for-like growth. And we have then also some occupancy spare capacity to be filled that also creates additional like-for-like. So we are positive. We don't know the future, but we are positive. We think our product really can achieve and maintain these levels.
Ana Taborga: Okay. Very, very helpful. And then another question maybe on disposals and any other assets that you expect that will go under refurbishment in the next year? How dilutive you think that could be into EPS? Because when I look at consensus, we are anticipating, as you guided strong EPS growth in '26 and '27. But how dilutive these disposals are expected to be into that guidance? And to what extent that strong EPS CAGR for the next years is something that we will start to see maybe a bit later than we are expecting?
Carmina Cirera: Ana, I think -- thank you, but you need as well to consider the future pipeline that will come into operation in the following year. So the 87,000 square meters from Madnum, Diagonal 197 and Haussmann that has been delivered this year. will be impacted, of course, in the due course after resell letting activity during 2026 and 2027. And then the scope, which is going to be delivered next year at 20,000, 22,000 square meters, again, will be impacting partially 2026 and 2027. So all in, it's what you can see the potential disposals, which we are disposing and valuation yields will be compensated. And of course, with the P&L with a positive impact on the -- coming from the program, the pipeline program that the yield on cost is much higher. This is the beauty of our business, this trade-off on yields and maintaining and keeping the EPS growth.
Carlos Krohmer: Maybe just a last comment. We do not expect any major projects coming up in our portfolio. Everything that we had to reposition and that has really a value creation perspective is what we have today on the page where we show that EUR 100 million of rents on Page 24. And the rest of the portfolio is basically a stabilized portfolio. Here and there, sometimes a little bit of floor to be repositioned, but nothing really big. I understand your question because many people have asked me this also in one-on-ones because there are some other people in the market that have quite relevant things coming up. We have nothing. We have just to deliver what we have. This is EUR 100 million, and the other is business as usual, managing the stabilized [indiscernible].
Operator: Next question, Michael Finn from Green Street.
Michael Finn: My first question, if I may, is on Slide 27. And I'm just curious if you could tell me, please, a bit more about the right-hand side of the slide. In terms of what you actually plan to do to capture the recoveries? Do you plan, for example, to stay in the same cities? Or are you looking at other cities? And if so, where? And then also maybe kind of connected to that also, I'm curious on the EUR 0.5 billion that you plan to sell, how do you balance the other uses of that cash in terms of the current debt level that you have in other things. So that's my first question.
Pere Serra: Yes, Michael, it's -- I think that we -- what we are trying to do with this particular slide is to be a little bit illustrative, but it's -- maybe it's difficult not to pass the message in a very strict way. My view. My view is, look, on the disposals side, we know that we want to do this level of disposal because we know the kind of assets that we're talking about that we know how dry they may be and the opportunities that may be out there. So this is -- there's a level of certainty attached to that. At the other side, we have knowledge that the market is offering opportunities because the supply and demand of money is a little bit disrupted everywhere, but particularly in France or in Germany, not so much in Spain. And you don't see many people capable of coming not only with money, but with know-how to be involved in opportunistic investment opportunities that may come with very interesting IRRs associated to this. On top of that, we believe that not only the alpha, but the beta in certain markets may help. So what we're just trying to say is that our goal as a listed company is to recycle capital to divest to keep the KPIs on the -- at the balance sheet level strong. And then to invest, but this it will be based more opportunistically on the back of the beta opportunities that the market may give us plus the alpha that we see. That was -- that is what we're trying to illustrate here that we believe that is an interesting moment of the market if you are investing on a 5-year horizon. But that's what we just wanted to illustrate with this kind of chart.
Michael Finn: Okay. Yes. And then maybe just in terms of the type of assets that you plan to buy. Do you think you would prefer to buy an asset that needs quite a lot of work or a standing asset that would yield from the first day?
Pere Serra: Yes. The ones we like the most is the ones that with a little bit of creativity, you extract extra rents with very limited or nonexisting CapEx. In other words, we do not see ourselves investing in heavy CapEx in pipeline of things that have to be developed from the spread, totally refurbished. I think that the opportunity cost of capital is not exciting. On the other hand, when you are more kind of a professional player and you go out there, you see sometimes assets that you believe that just with a little bit of creativity with your goodwill in the know-how that you have with your clients, you could improve. You simply -- you see something that has rent of EUR 30 and you see with a little bit of ideas, I would put this on EUR 35. So it's more this kind of real estate expertise oriented investment, the one that we would favor, of course, leveraging a little bit on the fact that there's not a lot of, let's say, plain Manila money out there in the market. That would be more our focus in terms of investment.
Michael Finn: Okay. Okay. Yes. And then a final question, if I may, on scope. I'm just curious over the course of the year, if your view on the effective rent there has changed. So that's the rent after all the rent freeze that you'll have to give to the tenant. I'm just curious if that has changed.
Pere Serra: Yes. No, I think it's early stages. Yes, I understand it's -- in the same way that Madnum for us was the great adventure and challenge for this year, and we are super happy about the outcome. We see this more '26 kind of focused. And yes, I'm also curious about the answer as you. I totally share. But too much early stages, we don't have visibility. We remain with the same kind of underwriting note that we had on this asset by now.
Michael Finn: Interesting, yes. Yes. And then sorry, maybe just to clarify on that, do you think at the moment, rent about EUR 720 and incentives probably in the high teens. Would you say that's fair in the current market?
Pere Serra: We did not follow you completely, the quality of the sound -- can you repeat, please, Michael?
Michael Finn: Yes, yes, sure. I just said, is it fair that the rent at the moment will be about EUR 720 and incentives would be in the probably upper teens. Is that fair in the current market?
Pere Serra: I don't have enough visibility to provide with an answer. That doesn't sound illogical to me what you're saying, but I wouldn't like to come now with a specific assessment that I cannot provide right now.
Operator: Next question, Celine Huynh from Barclays.
Celine Huynh: My first question is on the guidance, please. Like Valerie, we also noticed a slowdown in earnings growth in Q3. So can you elaborate what led you to narrow that guidance? Because initially, you were guiding to the upper end on the previous call. And then my second question is on the disposal you've just announced. You're sounding quite confident to achieve those EUR 500 million. Can you tell us in which country you're planning to sell? What kind of assets? Is that offices, residential and what kind of yield. And my third question is on the opportunity you're seeing currently in the market. We've heard you mention Brussels, Germany, Italy before. Is that still the case? Are these still markets that you're looking at for acquisitions?
Pere Serra: Yes. On the EPS, I think it's just as the year goes by and we are approaching the final end, we can be more precise. And in narrowing this from [indiscernible], what we see is just that we can be more precise. And we don't see anything similar to a slowdown in -- you've seen all of the KPIs. So if anything, some timing issues in certain specific things, but nothing specifically in terms of a slowdown. In terms of the disposals. Yes, normally, if we say high visibility is because we are working on specific assets with specific bidders. We always take some risk in saying this because high visibility means that you cannot announce certain transaction but you have good grounds. And you know in this sector that you cannot say that something is done till is done. But basically, as I said, in 2/3 out of what I said, maybe between half and 2/3. There are specific names of assets and names of bidders will give us that kind of confidence in delivering this. I cannot provide more visibility, maybe except that we are maybe taking advantage of the interest that the residential sector is having us showing in Spain. So one of the components of this may be residential. Besides this, I would not exclude anything. Spain, France, any kind of assets, but we cannot be more specific as of today based on where we are. And I think you said third thing or -- yes, opportunities. No, what we always say is that the main point -- main focus about our approach is to be opportunistic. And we don't work in a way of, let's say, preempting or having views about where we want to be or where we don't want to be to a level that we would be so specific, and we will be here, we'll not be there. We see opportunities a little bit everywhere. We see opportunities in France. We are looking at other countries, maybe Germany is the one with higher visibility as of today. But we cannot be more specific than this as of today because, as I said before, short-term focus, it's mainly on the capital recycling on the divestment side more than on the acquisition side.
Celine Huynh: Okay. Can I ask you one last question, please?
Pere Serra: Sure.
Celine Huynh: I mean, you've heard a lot of the questions on the call being about LTV too high. You're saying that you've got EUR 500 million of disposals very likely to come through. So why is deleveraging not an option for you?
Pere Serra: Why, sorry?
Celine Huynh: Deleveraging, reducing your debt?
Pere Serra: No. I think that we have been, let's say, confident traditionally that the level of our debt is a good one and based on several grounds. One is the kind of support we have been having on the debt markets. You've seen how we have placed the bonds in the past. You can see how the bonds are trading. You can see the level of support of rating agencies. So we've been traditionally confident on the level of debt that we've had. We are also committed to keep this and that means that if there is a temporary increase in LTV, we take the necessary measures to keep it in the safe zone on the zone where we want it to be. And -- so as of today, we see this more as a time issues, you cannot choose to invest and divest precisely everything at the same time, all of the time. So sometimes when you see that you've been able to divest and then you put focus in the investing, sometimes it's the opposite like now, and that's where we are. But coming back to the original point, if we are strong regarding debt markets, then the other question is what's the concern on the equity side, that the LTV, the concern can be because you think that you have a risk insolvency, let me put it this way. And I think that would be far away of anyone's concern. The other thing is from the point of view of providing the nicest returns to shareholders. Are you -- there is a common sense that is really ground to think that deleveraging you are working for your shareholders. While at the same time, you don't need to work for debt market based on the kind of support they are showing. What I want to say with all of this is that we are confident with our level of debt. We are also engaged in rebalancing the situation to remain strong. And we are confident in the fact that we will remain in this strong level as we have been in the past.
Operator: Next question comes from Jonathan Kownator from Goldman Sachs.
Jonathan Kownator: Two questions on my end, please. The first question, I wanted to come back to the topic again, I'm not entirely clear still. So the disposals that you're introducing now, is it the aim of disposing to reinvest the same volume? Or is it new disposals? And what is the impact you expect positive or negative, obviously, on the sort of EPS trajectory that you had announced earlier. So that's the first question, please. And the second question was on the science and innovation portfolio. You're now highlighting 80% occupancy. So can you help us understand a bit how this portfolio is going? Do you have more assets to be delivered? Or is that the full portfolio and then you just have to fill these? What are the prospects from tenants? I mean it's a space where we have seen some -- in some areas in respect, better lettings from the innovation space that the science area has been perhaps a bit tougher at European level. So if you can help us understand this, that would be great.
Pere Serra: Yes. Thanks, Jonathan. On the first question, we are, let's say, certain about the goal on disposals because we want to have the deleveraging FX coming from this on the second half of the year after the leveraging company on the first half. We don't have the same degree of being specific regarding acquisitions. This is more opportunity-driven. When an opportunity comes, we balance everything. One is the return coming from the investment. The other is the risk -- the risk associated to this including spillover kind of effects on our balance sheet. So we have a much more restrictive view. So I understand that this is not an answer that is yes or no, what are we doing with the money? And do we want to spend it all of them? Do we want to spend nothing on them? There's no specific answer for this. What we are focusing is high priority on the divestment side and then being very opportunistic on the investment side. On the second question on seed, Carmina, you want to step in?
Carmina Cirera: Yes. On the seed, it's -- today, we have 80% occupancy, but we have a small refurbishment that has been already pre-let. The kind -- Jonathan, the kind of tenants we have here, as you know, there are some kind of buyer as one of the big ones. We have as well innovation divisions from certain hospitals, innovation divisions from certain pharma companies. And the [indiscernible] world of today, it's almost 9 years, but we are recycling some tenants in a more, I would say, corporate tenants with more long-term contracts. So the expected stabilized yields are in the range of 6.5% stabilized. As of today, we are now in this recycling tenants, enhancing brands, increasing maturities and the profile of these 2 big campus are the ones that are more very exposed in the innovation and life science fields attached to the big pharma names.
Jonathan Kownator: Okay. Very clear. So if I can just, sorry, resummarize the first question. So if I understand correctly, the EUR 500 million of disposals is now incremental to what you had previously said in terms of earnings growth trajectory. And obviously, your aim at some point is potentially to compensate for that, but there's a bit less visibility and it's more the capacity to remain flexible. Is that a fair summary?
Pere Serra: Yes. I think that, yes, in a way, there's more certainty attached to divestments, there's more opportunistic approach to future investments, which means that any scenario is likely to happen, but the probability is more with the profile that you just mentioned.
Operator: Now there are no further questions. I then give back the floor to Mr. Pere Vinolas.
Pere Serra: Well, thank you. It's been a very interesting session, not only because of the results that we shared that I think that were very interesting, as I said, also because of your interest, support and interesting questions. Thank you very much for your time and looking forward to seeing you soon again. Thank you, and have a good day. Thank you. Bye-bye.